Operator: Good morning, and welcome to the Third Quarter of 2025 Pilgrim's Pride Earnings Conference Call and Webcast. [Operator Instructions] At the company's request, this call is being recorded. Please note that the slides referenced during today's call are available for download from the Investors section of the company's website at www.pilgrims.com. After today's presentation, there will be an opportunity to ask questions. I would now like to turn the conference call over to Andrew Rorjiski, Head of Strategy, Investor Relations and Sustainability for Pilgrim's Pride.
Andrew Rojeski: Good morning and thank you for joining us today as we review our operating and financial results for the third quarter ended on September 28, 2025. Yesterday afternoon, we issued a press release providing an overview of our financial performance for the quarter, including a reconciliation of any non-GAAP measures we may discuss. A copy of the release is available on our website at ir.pilgrims.com, along with the slides for reference. These items also have been filed as Form 8-Ks and are available online at sec.gov. Fabio Sandri, President and Chief Executive Officer; and Matt Galvanoni, Chief Financial Officer, will present on today's call. Before we begin our prepared remarks, I would like to remind everyone of our safe harbor disclaimer. Today's call may contain certain forward-looking statements that represent our outlook and current expectations as of the day of this release. Other additional factors not anticipated by management may cause actual results to differ materially from those projected in these forward-looking statements. Further information concerning these factors have been provided in yesterday's press release, our Form 10-K and our regular filings with the SEC. I would now like to turn the call over to Fabio Sandri.
Fabio Sandri: Thank you, Andy. Good morning, everyone, and thank you for joining us today. For the third quarter of 2025, we reported net revenues of $4.8 billion with an adjusted EBITDA of $633 million and an adjusted EBITDA margin of 13.3%. Our performance reflects the ability of our strategies to mitigate the impact of increasing volatile commodity markets, drive category growth with key customers on retail and foodservice and continue to close efficiency gaps in our operations. In the U.S., our diversified portfolio continued to be able to capture upsides in the commodity market while protecting from downsides. Case Ready realized strong growth as sales to key customers exceeded category averages and Big Bird improved operating costs through production efficiencies and life performance. Small Bird experienced robust demand as chicken-focused QSRs maintained steady traffic. Prepared Foods continued to expand through incremental distribution and portfolio expansion throughout retail and foodservice. Europe entered a new phase of its profitability journey through the new partnerships with key customers, investments in demand creation and acceleration of branded growth. Branded growth, product mix optimization and innovation will continue to be priorities during this evolution. Mexico continues to drive growth with key customers and develop brand presence in both Fresh and prepared, further diversifying our portfolio from inherent volatility in the live commodity markets. Our investments in growth continue and all projects remain on schedule. Based on these investments, we can increase returns while reducing volatility in our business, creating the opportunity of a better future for our team members and unlocking value for shareholders. Turning to supply. The most recent published USDA data indicated that ready-to-cook production for the U.S. grew 2.7% year-over-year, driven by increased headcount, improved live performance and higher-than-average live weights. Chicken egg sets were higher than last year, giving a more productive layer flock and record hatcher utilization rates. Hatchability improved, exceeding levels from 2024 for the first time this year. As a result, chick placements were higher than Q3 of 2024 throughout the entire third quarter. When combined with positive growing conditions, live weights were higher than average and overall livability improved, increased production was seen in Q3. This scenario was more significant during the month of September. Considering the factors supporting supply, USDA latest estimate forecast a 2% year-over-year increase in broiler production for 2025, suggesting an increase of 2.3% during the fourth quarter. As for overall protein availability, USDA projects a growth of only 0.8% for 2025. Notably, chicken is the only protein expected to see an increase, offset by decreases in availability of beef, pork and turkey. With respect to demand, macroeconomic indicators are shaping consumer behavior amid low sentiment. Inflation has increased for food overall and at-home eating occasions. As consumers are trying to stretch their budgets, we are seeing more trips to the retail with smaller basket sizes and lower traffic at foodservice. Nonetheless, demand for chicken remains strong across both channels, given its relative affordability, availability and flexibility compared to other proteins. In Fresh retail, boneless chicken breast experienced notable growth as the retail pricing spread against ground beef remained at record levels. Boneless thighs also realized significant gains driven by a narrowing price gap with boneless, skinless breast and continued consumer momentum. While wing pricing remained relatively steady compared to last year, volumes continue to grow. The belly also drove growth through enhanced velocity as shoppers increasingly turn to prepared meals as a more affordable alternative to traditional ready-to-eat options. Frozen prepared also saw gains from improved velocity, along with better production mix as nuggets and strips continue to capture a large share of new occasions. In foodservice, rising costs associated with dining out are impacting overall restaurant traffic. Nevertheless, operators continue to strategically lean into chicken through value offerings, limited-time offers and menu updates as a means to trigger or sustain consumer engagement. Value-added chicken-focused QSRs continue to leverage the affordability of chicken, outperforming the broader dining sector, showing greater resilience amid declining traffic. In exports, we have realized values compared to last year and at levels higher than historical amounts. Other than China, we have not experienced any meaningful challenges from tariffs or other barriers in our traditional trade lanes. While we still anticipate seasonal declines in the upcoming quarter, demand should be robust compared to previous years. We continue to be vigilant in our biosecurity measures, especially as commercial cases of high pet avian influenza have risen. As such, our geographic diversity and expansive network of international customers will continue to be critical to manage any potential outbreaks. As for feed, corn pricing remains stable as market fundamentals balance larger-than-anticipated U.S. supply from increased corn acreage against robust interest from export markets. Based on the most recent data available, USDA expects record corn demand. Nonetheless, U.S. overall supply is expected to increase 10% versus last year, resulting in ending stocks of over 2 billion bushels. Overall, global corn stocks are expected to remain relatively flat. Soybeans fell through the quarter given increased crush capacity and record South American harvest during the first half of 2025, ensuring ample global soybean meal supply. Most recent forecasts indicate that U.S. soybean stocks will be flat compared to prior year, whereas global soybean stocks are expected to build for the third year in a row. Global wheat production rebounded strongly as major exporting countries produced more than 23 million metric tons compared to last year. Wheat prices moved lower during Q3, generating demand and clearing supply. In the U.K., production rose over 2 million metric tons compared to prior year. Further increases in wheat planting are anticipated this fall for harvest in the summer of 2026, which could increase availability. During the remainder of 2025, the corn and soybean meal markets will focus on final United States yields, the start of the South American weather season and changes to export flows of U.S. grain and oilseeds from the ongoing trade negotiations. Turning to the U.S., chicken demand remains strong across retail and foodservice. Equally important, our diversification across bird sizes in Fresh and growth of Prepared Foods alleviated the impact of a decline in commodity market values during September. As a result, our margins were very comparable to last year. Case Ready benefited from relative affordability of chicken in retail compared to other proteins. More importantly, sales to key customers were significantly higher than category average, suggesting our higher attribute differentiated offerings continue to resonate with consumers. Big Bird enhanced production efficiency through improved yields, equipment upgrades and team member training. Live operations also made significant progress through revised management programs, updated housing and improved bird health. While we experienced some volatility in commodity chicken values in September, Big Bird margins were compared to -- comparable to last year, given our operational progress and declines in feed costs. Small Birds benefited from steady demand from key customers among leading QSRs and improvement in operational excellence despite some reduction in demand in the bone-in category. In Prepared Foods, net sales grew by over 25% through expanded offerings and increased distribution. Within retail, the Just BARE brand continues to lead the category growth as market share rose by nearly 300 basis points versus the same period last year. The Pilgrim's brand line of products also continues to gain consumer traction and market price recognition. Velocity on our core items improved and the Food & Wine and Serious Eats both recognized our Ultimate Nugget line as the best chicken nugget in their September publications. In foodservice, Prepared sales expanded faster than channel average. Innovation played a critical role as over 80% of growth came from new items. In Europe, we have undertaken a multiyear journey to drive profitable growth. Over the past 2 years, we consolidated our manufacturing network and simplified the organization to create a more nimble, key customer-focused organization. As a part of this effort, we remain focused on quality and service. Based on our work, we have continually received recognition for our supply chain capabilities over the past several years and are once again awarded Supplier of the Year by key retailers during the quarter. With a solid manufacturing and corporate base, we are now focused on growth through our diversified protein platform with innovation, brands and key customer partnerships. Within Fresh, demand for our chicken continues to be strong. Additional opportunities exist to grow as chicken remains the fastest-growing category within retail. Similarly, several leading QSRs continue to emphasize chicken given its affordability and availability, creating further prospects. Given this attractive environment, we are exploring investment to accelerate our growth in this segment. The pork business was more challenging during the quarter as the European hog pricing fell as demand softened from primary export markets, especially from China that started an antidumping investigation against Europe. To mitigate this scenario, we created differentiated higher attribute offerings in U.K., and we're able to secure a long-term arrangement supporting the growth of a key customer. We will continue to pursue similar arrangements going forward. In our branded portfolio, Fridge Raiders achieved its highest-ever household penetration. Rollover continued to expand, giving incremental distribution. Both brands grew faster than the category. Our largest brand, the Richmond has experienced relatively steady volumes year-to-date. However, we have experienced increased competition from private label offerings given the availability of imported meat into the U.K. To reinvigorate growth and increase share, we will amplify our investment in promotions and continue to bring new and exciting products to the marketplace. Also, we will continue to cultivate our presence in foodservice. To that end, we've increased our distribution and key customer QSRs demand remains robust as sales have increased by over 15% year-to-date. We will look to further expand our presence across pubs and bars through leading distributions. In Mexico, we continue to diversify our portfolio and reinforce the foundation for profitable growth and reduce volatility. In Fresh retail, sales to key customers rose by nearly 9% compared to last year. Momentum for branded offerings continues to grow, led by Just BARE. Since Q3 of last year, our volumes have more than tripled. Similarly, Prepared Foods sales are up over 9% compared to last year, led by our Ping's brand, which rose over 12%. In foodservice, QSR has been exceptionally strong as sales increased by 17%. Given our continued development of key customer partnerships, branded growth and expansion in prepared, Mexico becomes even more attractive given its enhanced return profile and growth potential. We remain committed to investments in our growth agenda. In the U.S., our portfolio is strengthening with the conversion of a Big Bird facility to Case Ready, a new protein conversion plant a new state-of-the-art Prepared Foods facility in Walker County, combined with upgrades in processing and volume in Big Birds all remain on schedule. Once completed, these investments will enhance our competitive differentiation in Fresh, further diversify our portfolio through brands and enhance operating efficiencies. As a result, our U.S. business will become even better equipped to meet consumer preferences and key customer growth while better managing increasing volatility in the commodity market. Similarly, our expansions in Fresh and prepared in Mexico continue as planned. In Fresh, progress continued at Veracruz and Campeche as breeder and broiler farmers have both started production. In Prepared Foods, construction is well underway with its initial production testing slate for the [ late ] in Q4. Given these investments, Mexico will improve biosecurity, expand distribution in Fresh and further diversify its portfolio through value-added. Like the U.S., Mexico will become even more adept at managing volatility of the live commodity markets. Taken together, this investment will reinforce our strategies, reduce risk and increase returns for our business, creating additional value for our shareholders. And earlier this week, we published our 2024 sustainability report, which provided an update on our progress against environmental, social and governance matters critical to our business. To that end, we continue to integrate sustainability throughout all aspects of our strategy and business to enhance environmental stewardship, conserve natural resources and cultivate team member development. Since 2019, we have reduced our Scope 1 and 2 emissions intensity by 23% and improved our global safety index by over 77%. Usage of renewable electricity continues to be a focus area and now constitutes over 21% of our overall electricity usage. Team member development remains a key priority. Over the past year, we have provided more than 5.7 million training hours to improve skills and create opportunities within our company. Our Better Future programs continue to generate remarkable enthusiasm as more than 285 team members or their dependents have enrolled in tuition-free higher education programs. With that, I would like to ask our CFO, Matt Galvanoni, to discuss our financial results.
Matthew Galvanoni: Thank you, Fabio. Good morning, everyone. For the third quarter of 2025, net revenues were $4.76 billion versus $4.58 billion a year ago, with adjusted EBITDA of $633.1 million and a margin of 13.3% compared to $660.4 million and a 14.4% margin in Q3 last year. Relative to net revenues, we experienced year-over-year sales growth of 2.3% in the U.S. in the quarter, driven by growth with our Key Customers in Case Ready and Prepared Foods volumes increasing. Mexico's revenues were up over 5% year-over-year due to an increase in sales volume. In Europe, year-over-year net revenues rose over 6%. Adjusted EBITDA margins in Q3 were 16.9% in the U.S. compared to 18% a year ago. For our European business, adjusted EBITDA margins came in at 7.9% for Q3 compared to 8.6% last year. In Mexico, adjusted EBITDA margins in Q3 were 8.2% versus 9.7% a year ago. Moving to the U.S., our adjusted EBITDA for Q3 came in at $479.1 million compared to $499.4 million a year ago. In our Big Bird business, lower grain input costs and continued operational improvements partially offset year-over-year declines in U.S. commodity chicken market pricing. Our Case Ready and Prepared Foods businesses continued their momentum with increased distribution with key customers. Case Ready's profitability was higher both year-over-year and quarter-over-quarter. However, even with a 25% year-over-year increase in net sales, higher commodity chicken input costs in previous periods was a headwind to Prepared Foods' Q3 profitability. Small Bird grew in QSR with our key customers, offsetting a more challenging environment in walks. In Europe, adjusted EBITDA in Q3 was $110.4 million versus $112 million last year. This slight year-over-year decrease was driven by pricing actions we took to address lower European hog market prices. The impacts of these pricing actions were partially offset by year-over-year cost reductions from our network optimization programs and administrative reorganization efforts. Mexico generated $43.7 million in adjusted EBITDA in Q3 compared to $49 million last year. Profitability decreased year-over-year primarily due to lower market pricing for chicken due to higher supply in certain markets as bird disease impacts were much less in those regions during Q3 2025. Relative to our SG&A costs, we incurred higher year-over-year legal settlement-related and incentive compensation costs. Our effective tax rate for the quarter was 25.6%, with our year-to-date rate at 25%, which is what we expect for the full year rate. We had $1.7 billion in total cash and available credit at the end of the quarter. We have no short-term immediate cash requirements with our bonds maturing between 2031 and 2034 and our U.S. credit facility not expiring until 2028. Our liquidity position provides us flexibility during times of volatility in the U.S. commodity markets and allows us to pursue our growth strategy, including organic growth to meet our customers' needs. We have a strong balance sheet, and we continue to emphasize cash flows from operating activities, management of working capital and disciplined investment in high-return projects. Even after paying $2 billion in dividends this year, as of the end of Q3, our net debt totaled less than $2.5 billion with a leverage ratio of slightly more than 1x our last 12 months adjusted EBITDA. Net interest expense for the quarter totaled $29 million. We anticipate our full-year net interest expense to be approximately $110 million. We spent $182 million in CapEx in the third quarter, an increase of $78 million over the third quarter in 2024. In the U.S., we made significant progress this quarter towards the conversion of our Russellville plant by the end of the first quarter of 2026 to support a retail key customer. Also in Mexico, our investments in Fresh and Prepared continue to progress and remain on schedule. We remain focused on expanding our protein conversion footprint to upgrade our portfolio mix and reduce our exposure to outside protein conversion operators. Also, as we previously discussed, we continue to review options to expand our presence in Small Bird. Finally, we are beginning here in the fourth quarter our construction efforts in Walker County, Georgia on our new Prepared Foods plant to support the growth of our Just BARE brand. We anticipate -- estimate our full year CapEx spend to approximate $700 million. These growth projects align to our overall strategy of portfolio diversification, focus on key customers, operational excellence and our commitment to team member health and safety. Operator, this concludes our prepared remarks. Please open the call for questions.
Operator: [Operator Instructions] The first question comes from Ben Theurer with Barclays.
Benjamin Theurer: Two quick ones. So number one, obviously, we've seen the more commoditized prices rolling over in a more meaningful way versus what might have been usual seasonality performance. So I wanted to understand if you could first clarify a little bit more what you're seeing in the market? What's been the main driver of that? Is it just because of the hatchability, is it livability? And how do you think about that rolling into as we move into 2026 in terms of like a seasonal recovery into 1Q versus what probably is going to be a softer 4Q? That would be my first question. And second, it's related to that. Can you update us as to within your portfolio right now, what percentage of your pricing contracts is actually exposed to that more commoditized bird size -- Big Bird pricing mechanism? Those will be my 2 questions.
Fabio Sandri: Yes, Ben, thank you. Of course, pricing is a function of supply and demand, right? And what we experienced in Q3 in terms of demand is a similar scenario to the last years. The consumers continue to be watching their spending and have growing concerns about inflation. And with that and the inflation in food away from home, these foodservice operators have experienced lower traffic. What they have done to combat the lower traffic is to resort to promotions and to attract customers, right? And those promotions have featured mainly chicken. So because of that, despite the lower traffic, we have seen chicken growing in the foodservice around 4% in volume. And we're seeing that especially in the QSR where the volumes have increased more 6%. So with this lower foot traffic, we're seeing consumers going into the retail. And on retail, what they are facing is also some increase in inflation, especially on the beef category. If you look into the pricing between beef and chicken, the gap that we are seeing, it's over $2. Just as an example, 3 years ago, this spread was $0.50. And since then, the price of chicken went down 10%, while the ground beef prices have increased by 28%. So when the consumer is facing that scenario, he is choosing to eat more chicken. And we're seeing the demand for chicken growing close to 3% in this category as well. So the demand remains robust. What happened during Q3 in the supply scenario was at the beginning, very similar to what we saw in the first semester. We have a smaller but younger breeding flock that generates more eggs, but we have struggles with hatchability and livability. And the total supply growth in the first semester was under 2%. During Q3, we saw better growing conditions. So these better growing conditions impacted better livability and better hatchability. So despite the growth in Q3 being 2.7%, what we saw was that during September, some weeks have seen because of these better growing conditions, better livability, better sizes as well and the industry having to process on Saturdays to reduce weight, the increase in supply achieved close to 6%. And that was what impacted the commodity markets. And we have some sharp corrections in the -- especially on the boneless -- skinless boneless price. As prices went down from $2.5 per pound to almost $1.20 per pound over the course of 4 weeks, we saw that creating some demand. And I think the good news is that right now, the prices are stable and actually went up $0.01 last week. So we're seeing that the strong demand is in line with the supply right now.
Benjamin Theurer: [indiscernible]
Fabio Sandri: Yes. On our expos, we have a very diversified portfolio of segments. As I always say, talk about our portfolio. We are the leader in the Small Bird market. We have a big presence, and we are one of the leaders in the retail category, and we also have a big exposure in the big commodity markets. When you look into our portfolio, it's well diversified within those categories. In terms of how much it is exposed to the commodity markets, I would say that it's close to 25%, which is in line with our production or our share of production on the Big Bird category. Even in the Big Bird, we've been trying to differentiate some of our portfolio. And as we talked about in prior calls, we are the leader in the novel no-antibiotics-ever category and also in the Big Bird category. So we even being exposed to the commodity, we can achieve a premium in that category.
Benjamin Theurer: Okay. And you can't comment on like seasonality expectations for like 1Q, correct?
Fabio Sandri: Yes. On what we are seeing, as I mentioned, I think the good news is that as of the last 2 weeks, we have seen a supply and demand imbalance. And actually, as I mentioned, prices started to go up. I think it's normal to have a lower demand during Q4 for chicken. And then when we started and this normal seasonality, prices start to rise in December to prepare for the strong promotional activity that we normally see on the chicken category, especially on retail during January. So when you look at the USDA expectations, Growth continued to be expected in between 2% and 3% on the chicken category. We've seen this increase in excess consistently year-over-year. And we saw some seasonal cuts that were lower than prior years. But again, supply seems to be very balanced in October. And I think also when you look at the overall protein availability in the United States during Q4, USDA is expecting a sharp cut in the beef production. So overall protein availability will be very limited during Q4. Chicken will be, I think, the only category that will be up, but USDA is expecting between 2% and 3%.
Operator: The next question comes from Peter Galbo with Bank of America.
Peter Galbo: Just actually one question for me, and it's maybe more of a conceptual question. But Fabio, you mentioned the spread on beef to chicken and it seems to being at record, if not close to record levels. And you're just not -- you're not seeing the cross-product elasticity I would think you would in an environment where beef is at an all-time high and chicken is hovering in some instances on some of the cuts below the 5-year averages. So I just want to understand, conceptually, as you all think about it, like why is that? It wouldn't make sense to me that beef could be at such a sustained high level and chicken prices would trade down even with seasonality. So maybe you can just explore on that topic a bit more because I think there's a lot of market participants who probably don't understand myself included, the rationality of what's happening.
Fabio Sandri: Sure, Peter. Yes, it's a great question. I think as I mentioned at the beginning, what is happening is the consumer when facing the food away from home higher or the inflation in food away from home, he is moving to retail. So we need to first think about that transition. So when -- and when we look at the ticket of the food away from home, it's typically 3x the ticket of the food at home. So what's happening is that the lower food traffic in foodservice is partially moving to retail. And when they go to retail, they want to have indulgement and they are buying the beef. So what we are seeing, it is -- you mentioned elasticity, right? We're seeing this change in the demand on retail, where we see consumers moving away from high foodservice prices to retail, and they are consuming the high-priced beef. So we're seeing the demand on the beef also increasing because of that change. Now inside retail, we saw exactly what you said, the record spreads and then people moving away from beef into chicken. So this is the scenario that we are seeing. And that's why the prices of beef have been very well supported because they're being supported by the trade down per se from foodservice to retail. And then inside retail, we're seeing the trade down from the high prices of beef, especially the ground beef to the boneless chicken, as I mentioned, with the highest spread we've ever seen, close to $2. So it's a little movement between categories as well, not only inside the retail that is supporting the beef category. And we are also seeing some lower beef availability as well, which is supporting these prices.
Operator: The next question comes from Andrew Strelzik with BMO Capital.
Andrew Strelzik: My first one, there were 2 things that you mentioned impacting the quarter. And I'm curious about whether you view those as just third-quarter impacts or if you think those continue into the fourth quarter or even into 2026. Those are the input cost headwind to Prepared Foods and some of the demand challenges on the export environment in the EU, U.K. segment. So if you could just kind of comment on how to think about whether those should continue or that was kind of confined to the third quarter.
Fabio Sandri: Yes. I think just going forward, right, and moving back to U.S. once again to 2026. USDA is looking for chicken growth in between the 2% and 3% that we saw in 2025. All the drivers that made 2025 a strong year for chicken continue to be in place for 2026. The industry is operating with a very high utilization rate, especially on the hatcheries. The breeding flock continued to be at the lowest levels compared to prior years. And the pullet placements, which is the indication for the size of the breeding flock we're in line with the replacement needs. So we are not seeing an expansion of the breeding flock. With the hatch utilization at the rates that we are seeing, we don't see a scenario where we have a significant increase in supply of chicken for 2026. And when we look at the competing proteins, I think USDA is expecting an even higher reduction, especially on the beef production, which will lead into -- I think it's a record low growth in net availability for -- in the United States of below 1%. So that with the spread that we are seeing between the prices of chicken and the prices of the other proteins and the need for the -- both the retailers and the foodservice to promote and drive traffic, we're seeing a strong demand for chicken. Input cost is an important issue as well. And what we have in the United States, of course, we will monitor, as I mentioned, the weather in the South America that could change the pricing for the global corn and soybeans is the trade deals that are in discussion. But overall, we saw the largest acreage ever planted in the United States, and we are seeing very good yields coming out of the field. So there is an ample supply of corn and soy. So we were not seeing any scenario where we're going to see a squeeze or a big increase in the input cost for us.
Matthew Galvanoni: And Andrew, relative to your Prepared Foods question, I think it's important to the dynamic that we saw here in Q3 with relatively high commodity market pricing for chicken in July and August and then the steep drop in September, for us to flush that through the P&L within Prepared Foods, it takes a month or 2, right? So we had much higher input costs in Prepared Foods inventory that flew through the P&L in Q3, that will then kind of recede more naturally as that inventory flushes through and the new inventory is being built on input costs that are much lower, right? So it's a bit of a timing situation within U.S. Prepared Foods relative to that input cost fluctuation.
Fabio Sandri: And then on the export of U.K., as I mentioned in the prepared remarks, what we saw was that because of a China antidumping against Europe we saw a lot of commodity meat, especially from Germany, getting into the U.K. I think what we did and we will continue to do is to differentiate our offerings with the higher welfare that we have in U.K. I think a great example was the 10-year contract that we did with a Key Customer where we're going to be able to differentiate their offerings, which help support their growth and isolates us from this competing more commodity meat that gets into -- especially into the U.K. That always impact more on the sausage business because it is imported commodity meat. And that pressure a little bit to the prices on our Richmond brand. But as I mentioned, we will also continue to do some promotional activities, and we will lead through the innovation in that market to support the strong growth of that brand and the profitability of the overall portfolio.
Andrew Strelzik: Okay. That's super helpful. And then I wanted to see if you could elaborate on your comments about the EU, U.K. reaching a new phase of the profitability journey. And I don't think that's entirely surprising given the progress you've made on margins over the last couple of years and in the context of how you've talked about kind of normal margins in that segment. But how then -- especially in the context of what was a little bit of a softer quarter than we expected in the segment this quarter, like how do we think about the profit growth? Or how are you thinking about that transition and how we should translate that to either margins or the profit growth for that segment kind of over the next couple of years?
Fabio Sandri: Yes, that's a great point. And I think we, as we say, turn the page, right, in Europe. I think we were consolidated -- consolidating our network manufacturing. We are consolidating our back office. We have a new office close to London. So I think we are in -- with great grounds to now be able to grow. And I think growth could be through M&A and could grow, could be through some organic expansions. I think we have the right structure today. We have the right team to support those. Of course, we will continue to improve our current portfolio organically, and it's through innovation. I think the best thing we can do in Europe is through innovation because when you look at what's happening in the marketplace, despite an improvement in the consumer confidence over the last period because we have experienced strong inflation, and then we have the wage growth accelerating and that was above this strong inflation. And with that, the consumer confidence was increasing, which was helping our higher attribute offerings. I think over the last month, we saw some concerns about inflation again. And like I mentioned, with this impact from the price of pigs, especially in Europe, impacted a little bit our branded portfolio. But what we can do is to continue to innovate and partner with our key customers to continue to support their growth. Also, we've seen the chicken business in Europe growing faster than the other segments. And we have some organic investments that we are putting in place to increase our production of chicken to close to 20% growth over the next 2 years.
Operator: The next question comes from Pooran Sharma with Stephens.
Pooran Sharma: Just wanted to maybe just focus on Europe here. Just gave a lot of great color here with that last answer. But maybe just talking more on M&A. You just told us you're lining up some organic chicken production in Europe here over the next few years. Does this take your foot off the pedal in terms of your hunt for an M&A opportunity? Because I think in the past, you've said that maybe the next thing for you all would be some white space opportunity in Mainland Europe. And so I wanted to, a, get a sense if those organic investments slow down any sort of M&A initiatives in Europe? And b, if you could maybe just give us an update on what you're seeing in Europe? Is there anything attractive out there at this time?
Fabio Sandri: Yes, sure. Thanks. And I think you're right. Where we are growing in chicken on the organic, it is in U.K. and Ireland. It's where we are present. We have a great key customer relationship. We are seeing the demand for chicken growing in U.K. and Europe. So we have the opportunity. And as I always mentioned, because of our differentiated products, we help our key customers to differentiate. And when they grow, we are allowed to grow. So this is not speculative growth. And that does not change anything on the M&A front. When you look at our portfolio in Europe, it's the most diversified that we have around the world. So we are in the chicken business. We have the pork business, but we also have the sausage and the meals business along with foodservice a foodservice business in Europe. So we have a very diversified portfolio, and we're looking into opportunities in all those categories or segments. Specifically, as you mentioned, in chicken, we are present in U.K. and Ireland, and we see opportunities in other countries in the European Union for us to expand our expertise in chicken. And then within U.K. and other countries in Europe, we see some opportunities on the meal segments. We see opportunities on the sausage and branded product segments. So I think there's a lot of opportunities in Europe as the market is more fragmented in Europe as it is in other parts of the world. So we're still committed to growing and expanding our portfolio and the organic initiatives are more focused on where we are.
Pooran Sharma: Got it. Appreciate the color there. And I guess on my follow-up, I was just interested in something you said in the prepared comments. I think you mentioned that your September Big Bird margins may have been comparable to last year, which I found kind of impressive, just because our data shows somewhat of a different story. And so I was wondering if maybe you could help quantify some of these operational improvements or maybe even tease out how October Big Bird margins look in terms of PPC's view?
Fabio Sandri: Yes. I thank you for the question, and I think we can clarify that in the quarter, the margins was comparable. I think we saw, as I mentioned, in September, a sharp decline in -- especially on the boneless price because of what I said an excess -- don't say excess production in the whole Big Bird category, but I think the killing on Saturdays, some of the industry was trying to control weight. So we saw some marginal supply, especially during September. So the margins during September were much lower than the margins compared to the rest of the quarter. But overall, during Q3, the margins were similar to the same period last year. As I mentioned, after this sharp decline, the prices are stable right now and the latest change has been up. So I think that's the great news that shows that the supply and demand are in balance during this Q4. And with the prices that we are seeing in the Big Bird commodity, we're seeing some triggers of demand.
Operator: The next question comes from Guilherme Palhares with Santander.
Guilherme Palhares: Two here from our side. The first one is on leverage. Matt said that the company has already paid $2 billion in dividends this year. But of course, this is also related to last year. And going forward, we continue to see the balance sheet being so strong, right? So if you could give us a sense of how are you thinking in terms of the capital structure for the rest of the year as in Q4, you had that extraordinary dividend last year. So how are you thinking about 2025? And the second one, Fabio, you mentioned a bit the growth in terms of the supply. Is there any opportunities for the U.S. to grow in terms of exports as well to put some of that product in the shelves of other countries as well and gain some share on the trade?
Matthew Galvanoni: Yes. I'll answer the first one relative to kind of Q4 and leverage. I think for us, we don't really see any major change in Q4. As you mentioned, we had -- and I had mentioned earlier in my prepared remarks about the $2 billion in dividends that we had paid out throughout this year. I think that, of course, was a significant, call it, impact to our leverage ratios at that point. But nothing really overly significant. I did guide to approximately $700 million in total CapEx spend this year. We're in the $440 million range right now year-to-date. So we will have incremental CapEx relative to our quarterly run rate, which will be a use of cash. But generally speaking, we don't see a major change in leverage ratio as I look through the end of the year. And Fabio, if you want to comment on the other.
Fabio Sandri: Yes. I think on exports, it is a great point, Guilherme. I think U.S. is very competitive in chicken production. We have the feed inputs here domestically. We have very, very competitive operations. I think our exports are actually down this year when compared to the prior year. And I think because the focus of the chicken production in the U.S. has always been the domestic market. I think even on the leg quarters that we used to export, more and more, we are deboning that part of the bird, and we created the the dark meat deboning operations here in the U.S., and we're keeping that meat in the United States. So it is because of change of demographic. It is because of change in consumer preferences. And we're seeing that category growing really fast. And as a matter of fact, dark meat deboning meat is actually at par with the price of breast meat, which tells a lot about the domestic market changing, right? And because of that, we've been reducing the export of leg quarters, which used to be the, let's say, the flagship of the American exports. I think as we grow our production here in the U.S. as we are very competitive, we can capture some space on the exports. China has been one of the markets that have been close to us because of even influenza bans that were created last year, and they will never open. despite some trade agreements that say that after 90 days without any case, the market should reopen. China never reopened to American meat. And I think the trade agreements, if they really happen on the grain side, could have some benefits for us also on the meat exports.
Operator: The next question comes from Heather Jones with Heather Jones Research.
Heather Jones: I wanted to ask about Q4. So like you said, Fabio, the markets have stabilized. And I'm just -- and that the price decline has triggered new demand. But I was just curious, as we head into the holiday season and like you said, we didn't get the normal seasonal cutbacks this year and you've got SNAP dollar reductions coming in the next week or so. I was just wondering how you're thinking about the pricing outlook for the November period. Do you think there's any material downside risk to pricing for that period given those 2 items?
Fabio Sandri: Yes. Thank you, Heather. Yes. I think as we always say, Q4 is a place where we see a lot of promotional activity in other meats, hams and turkeys. So it's never a time where we see very strong demand for chicken. But what we are seeing during the last weeks is very strong demand on the retail side. And I think the lower price of the commodity always support the retail because we can augment the production of the retail plants with very competitive breast meat prices that we can help our key customers to do promotional activity. So I think that is what can help on the demand of chicken even in a period where we see typically the promotional activity on other meats. I think the SNAP is something that we are following very close. I think it is an important source for -- on the retail and for families to augment their budgets. I think the important point is that the SNAP, even if there is some disruption, will be paid in the future and will be retroactive. So I think it is just a temporary or a small delay, hopefully. So that demand will come back again after the SNAP is paid. So yes, we are looking into that. But I think what we are doing in the chicken industry is doing together with the key customers is to do more promotional activity with the very competitive meat that we have right now because of the low price of the commodity meat.
Heather Jones: Okay. And my follow-up is, as we're transitioning from what has been an extremely robust time for the chicken industry as far as margins to, let's call it, a more normalized time. Just wondering if you could update us on how your portfolio has changed versus, say, 3 or 4 years ago because it used to be your Big Bird segment was pretty exposed to commodity markets. But even within tray pack and to a lesser extent, Small Bird, there was still the preponderance of that business was exposed to market-based pricing in some extent. Maybe there were matrices and ranges, but there was still some exposure to how the market was moving. I was wondering, has that changed in any material way? Like has your retail pricing become more fixed? Or I mean, how should we be thinking about that as we're heading into '26?
Fabio Sandri: Yes. I think we've always been upgrading our portfolio in a sense. I think over the last 3, 4 years, we have achieved, let's say, the largest antibiotic-free player in the United States. And we are also the largest organic operator in the United States. And we are also the largest only vegetable feed in the United States. And I think we're trying to differentiate our portfolio, not only from market pricing, but with some differentiated products that can capture upsides even when exposed to commodity. So we've done that change. We're also investing this year, as we mentioned in the prepared remarks, to convert one Big Bird plant to a Case Ready operation. Again, our customers are growing faster than category average. As a matter of fact, when you look into the retail, our numbers are 3x larger in terms of growth when compared to the market, which means that our differentiated offerings are supporting our key customers to grow and win in the marketplace. And because of that, we will need to convert a more commodity Big Bird plant to a Case Ready plant. Our portfolio of pricing, as you mentioned, has changed, and I think we have less exposure to the pure commodity right now. On some of the key customers we have negotiated prices. It is a market price, but it's a negotiated price. So we don't follow UB. We don't follow the commodity markets. What we follow is to keep our key customers competitive given what's happening in the marketplace. But that price don't change every month or every quarter. It's something that will change when change is needed. And it could be if the grain prices are falling more than we expected, we can give the reduction in prices or if our cost is going up, let's say, because of labor that it has not been an issue this year, but it was in prior years. So we can increase our prices given what we are seeing both in the marketplace and in our operations. So I think we are less impacted by the commodity prices, as you mentioned. But of course, we follow some of our contracts follow the market price.
Operator: The next question comes from Priya Ohri-Gupta with Barclays.
Priya Ohri-Gupta: One just follows up on that last point you were making. So as we think about some of the contract pricing that you have in place, can you just maybe walk us through what that P&L impact is if you are collectively investing in lower prices or increased promotions with your partners as opposed to adjusting that contract pricing? And then I have a follow-up for that.
Fabio Sandri: Yes. I think when I talk about promotional activity is something that we have let's say, an investment and a return. So when you do a promotional activity and an example is some BOGOs or buy one, get one that we do with one of our key customers. What we see is an increase in the demand, so increasing volume. So that helps the operation of our plants. So what we typically do is to bring commodity meat or Big Bird meat into a Case Ready facility and we put that meat in a tray to support the promotional activity. So that helps reduce our operating cost at the plant, and it helps the retailer with more demand, more foot traffic. So it's an investment. When we have a commodity pricing, let's say, with the food distributor or with a national distributor like Sysco, US Foods Garden, foodservices. It's more a day-to-day pricing or weekly pricing, and it follows more the commodity market. There will be, of course, as any supply and demand curve, right, more demand if the price go down, but it's not something specific to us. It's some market pricing. So there is a difference. When there is a promotional activity, it is something that we deliberately do that activity to help both our key customers and us with more supply and more demand, right? When it's market pricing, it is to everyone.
Priya Ohri-Gupta: Got it. That's super helpful. And then, Matt, it looks like you guys were back in the market doing some open market bond buybacks. Can you just walk us through sort of the approach there given how low your leverage is and sort of what's driving that continued activity?
Matthew Galvanoni: Yes. No, Priya, we -- as we did, call it, the first half of the year, this was just, I'll say, winding down our program that it really ended up in the first 2 weeks of July. So the $24-or-so million that was repurchased in the quarter all happened in the first couple of weeks. I think our total for the year has been $116 million in that range, and that last $24 million was just a wind-down. So we really aren't in the market any longer. We haven't been in over 3 months.
Operator: This concludes our question-and-answer session. I would like to turn the conference over to Fabio Sandri for any closing remarks.
Fabio Sandri: Thank you, everyone, for attending today's call. In the third quarter of 2025, we experienced strong demand for our products despite some market volatility. More important, our team members maintain a leadership mindset and accelerated their efforts to identify and capture operational opportunities. Given their remarkable discipline and extraordinary determination, we achieved strong results for the quarter. As such, I would like to extend my deepest appreciation for their efforts. Moving forward, we must continue our work with an unwavering focus on team member safety and well-being, support our key customers' growth and close our operational gaps. As a result, we can achieve our vision to be the best and most respected company in our industry, creating a better future for our team members and their families. I look forward to accelerating our efforts and our growth during the remainder of 2025 and beyond. Thank you all.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.